Operator: Good day, and thank you for standing by. Welcome to the C3is Q2 2024 Financial and Operating Results Conference Call and Webcast. At this time, all participants will be on listen only mode with no question-and-answer session at the end. Please note that today's conference is being recorded. I would now like to turn the conference over to your speaker, Mr. Diamantis Andriotis. Please go ahead, sir.
Diamantis Andriotis: Good morning, everyone. And welcome to our C3is second quarter earnings conference call and webcast. This is Diamantis Andriotis, CEO of the company. Joining me on the call today is our CFO, Nina Pyndiah. Before we commence our presentation, I would like to remind you that we will be discussing forward-looking statements, which reflect current views with respect to future events and financial performance, and are based on current expectations and assumptions, which by nature, are inherently uncertain and outside of the company's control. At this stage, if you could all take a moment to read our disclaimer on Slide 2 of this presentation. I would also like to point out that all amounts quoted, unless otherwise clarified, are implicitly stated in US dollars. Today, we released our earnings results for the second quarter of 2024. So let's proceed to discuss these results and update you on the company's strategy and the market in general. Please turn to Slide 3 where we summarize and highlight the company's performances, starting with our financial highlights. For the first half of 2024, we reported an adjusted EBITDA of $11.3 million, which is an increase of 555% compared to the first six months of 2023. Our adjusted net income came in at $7.3 million, an increase of 1,790% from the first six months of 2023. Our Aframax tanker, the Afrapearl II, contributed around 80% of the total revenues. Our vessels’ net book value was $87.4 million at the end of June ‘24 compared to 75.2% at the end of December ‘23. That is following the delivery of a bulk carrier in April 2024. Our net cash balance was $45.5 million at the end of June ‘24 compared to $9 million at the end of December ‘23. This was a combination of three major items; net profit from our normal business operations, receivables of $6 million recorded at the end of Q4 2023 that were collected in the first half of ‘24 and the proceeds of around $12 million from two share offers that took place in the first quarter of 2024. Our TCE for second half ’24 was $29,700, 145% higher than the rate for second half ‘23. The income from the Aframax tanker is the main contributor to this exceptional increase. On the fleet acquisitions, the company commenced operation with two handysize carriers with a total fleet capacity of 64,000 deadweight. Since then, we acquired an Aframax tanker of 115,000 deadweight in Q3 ‘23 and in Q2 ‘24, a 33,000 deadweight bulk carrier, bringing the total current fleet capacity to 213,000 deadweight with an average age of 13.5 years. The total fleet capacity has increased by 234% since the company's inception. As stated in press releases, the company received a return notification from NASDAQ as the company's shares were below $1 for 30 consecutive days, which is the minimum share bid price for continued listing on the capital market. In order to regain compliance, the company [affected] the one for one hundred reverse stock split of the company's common stock in April ‘24. Slide 4 shows the dry bulk trade by the end of second quarter ‘24. Iron ore is the number one dry bulk trade commodity. Trade is restricted on very few routes, such as through Brazil, China and Australia, China with the Pacific Basin being predominant. Other major importers are Japan, South Korea, Western Europe and the Middle East. In January, May ‘24, global exports of iron ore reached 672.1 million tons according to AXSMarine vessel tracking data. This is a 5.3% increase year-on-year. In January, May ‘24, global imports of iron ore reached 694.6 million tons according to the same source. This was an increase of 5.7% year-on-year. Coal is still the second most traded dry bulk commodity. Global coal trade continues to grow with 2023 volumes being an all-time record high. Growth in imports to China, India and Asian is compensating for declining demand from Europe and Japan. In January, May ‘24, global exports of coal reached 556.8 million tons according to AXS, and this was a 2.5% increase year-on-year. In January, May ‘24, global imports of coal reached 554.3 million tons, which was a 2.2% increase year-on-year. Global seaborne soybean trade reached 149.2 million tons in ‘23 and this was the highest volume since 2020. Trade was dominated by Chinese imports, which account for two thirds of volumes with Europe a distant second. Main exporters are USA and Brazil with smaller volumes coming from Canada and Argentina. Global seaborne wheat trade reached 149.7 million tons in 2023. Trade was dominated by exports from the EU and the Black Sea region, as well as the USA and Canada. There has been a significant increase in volumes from Russian and EU ports replacing Ukrainian ports and imports are primarily to the MENA region, China and Southeast Asia. In January, May ‘24, global exports of wheat reached 74.7 million tons according to AXS and this was a 19.8% increase year-on-year. 25% of exports were shipped from Russia, 23% from EU, 14% from Australia and 12% from Canada. Global seaborne coarse grains trade reached 164.3 million tons in ‘23. Trade was dominated by exports from South America, the USA and the Black Sea region, while in January, May ‘24, global exports of coarse grains reached 65.5 million tons according to AXS, and this was a 12.8% increase year-on-year. On Slide 5, we see that the dry bulk market is enjoying healthy earnings due to major support from the Red Sea diversions, geopolitical uncertainty in the Russia and Ukraine war, the Middle East, a potential escalation in the US, China trade war and OpEx oil market gains. Dry bulk demand is expected to increase by 3.6% in ‘24. Improvements in demand have been highly supported by firm Chinese demand for dry bulk commodities, while rerouting away from the Red Sea area and restrictions imposed in Panama Canal transits further support dry bulk ton mile demand growth. After contracting by 1% in ‘22, minor bulk ton mile trade increased by 3% in ‘23 while it is expected to increase by 5.2% in ‘24 and 2.7% in ‘25. The handysize one year TC rates had an estimated year-on-year increase of 15.5% in June 24 at around $30,750 per day. In January, December ‘23, the Baltic handysize TC equivalent averaged $10,557 per day, a decrease of about 50% year-on-year. In January June ‘24, the Baltic handysize TC equivalent averaged $12,560 per day and that was an increase of about 24% year-on-year. Moving on to Slide 6. The crude tanker demand is projected to grow by 3.5% in 2024, following several years of strong growth. This is bolstered by 1.9% increase in the average haul distance, driven by growing long haul [transit] exports from the US, Brazil and Guyana, as well as refinery startups in Asia. This growth is largely driven by 15% increase in exports from the Americas between ‘23 and ‘25 contributing to over 8% of the projected global volume growth. Asia is expected to continue leading the import growth, accounting for approximately 6% of the projected increase. Despite the ongoing crude oil production cuts enforced by OPEC members, industry participants believe that the tanker market environment will remain healthy through 2025. Tanker demand outlook remains robust supported by growth in crude oil trade volumes, as well as by trade partnerships arising from [Red Sea] diversions benefiting long haul routes, thus boosting ton mile demand. Seaborne crude oil trade has been supported by increasing demand from China and rising exports from suppliers in the Americas. On the tanker spot rates, after a strong first quarter, second quarter was slightly weaker with crude oil tanker earnings falling by 13% on average in second quarter. Aframax and Suezmaxes continue to match or even out -- out earn their VLC peers, thanks to the boost they received from disrupted Russian flows. In June ‘24, the Baltic Exchange Dirty Tanker Index averaged 1,223 points from 1,086 points in June ‘23, and this is an increase of about 12.6% year-on-year. Slide 7 shows the handysize fleet ageing growth. The orderbook for handysize dry bulk carriers stood at 9% of the existing fleet as of May ‘24. Compared to year end ‘23, the orderbook for handysize dry bulk carriers declined by 12.4%. Almost 40% of the handysize dry bulk carrier fleet is between 10 to 14 years of age, while a total of 27% of the trading fleet is estimated to be 15 years or older. On the fleet growth, the dry bulk carrier orderbook stood at historically low levels at 9.3% at the end of April. 8.6% of the total dry bulk carrier fleet is older than 20 years of age. The total dry bulk carrier fleet grew by 3.1% in 2023 and is currently expected to grow by 3% in ‘24 and by 2.5% in ‘25. Compliance with new environmental regulations coupled with an overage fleet might induce scrapping, thus reducing our variable fleet supply. On the fleet growth side, the handysize dry bulk carrier net fleet growth stood at 3.2%. Analysts expect a supportive handysize dry bulk carrier net fleet growth for the years to come, specifically net fleet growth is expected to grow by about 4.4% in 2024 and 3.5% in 2025. Slow steaming and retrofitting time as part of complying with new environmental regulations are also factors that are expected to reduce available fleet supply in the years to come. The outlook for the handy bulker market in 2024 is cautiously optimistic with room for gradual improvements. According to projections to current projections, the growth in bulker demand is expected to be slightly above fleet expansion, combined with a constrained delivery schedule and the potential for increased demolitions. Several factors, including the attacks from Houthis in the Gulf of Aden, the implementation of reduced vessel speeds and extended retrofitting time due to environmental regulations, coupled with the announced constraints in the Parma Canal, which are likely to last well beyond first half ‘24, are poised to shape market dynamics. Slide 8 shows the Aframax tanker fleet age growth in orderbook. The global Aframax LR2 fleet now stands at 1,147 vessels. Of these, 205 vessels are over 20 years of age, accounting for about 17.8% of the total number of vessels. With a starting tally of 1,134 vessels, the current fleet represents a change of 1.15% in vessel numbers over the year so far. Deliveries are holding at levels above the total numbers of removals from the fleet, creating a net gain in the fleet equivalent to 1.15%. This increase is higher than the change noted in May ‘24 while compared to last year, we have seen a decrease in the trend noted. The orderbook now stands at 164 vessels, having increased by three vessels in June ‘24. Slide 9 shows the current fleet of C3is. By the end of Q2 ‘24, C3is owned and operated the fleet of three handysize dry bulk carriers and one Aframax oil tanker. In May ‘24, the company took delivery of the 33,000 deadweight dry bulk carrier, the Eco Spitfire, bringing the total fleet capacity to 213,000 deadweight with an average age of 13.5 years. All vessels have had their ballast water systems already installed. Furthermore, there are no immediate capital commitments through special surveys as the next one due is in Q3 ‘25. All vessels are unencumbered and currently employed on short to medium term period charters and spot voyages. Slide 10 shows a sample of the international charters with whom the management company has developed strategic relationships and has experienced repeat business. Repeat business highlights the confidence our customers have for our operations and the satisfaction of the services we provide. The key to maintaining our relationships with these companies are high standards of safety and liability of service. I will now turn over the call to Nina Pyndiah for our financial performance.
Nina Pyndiah: Thank you, Diamantis. And good morning to everyone. Please turn to Slide 11, and I will go through our financial performance for the second quarter and first half of 2024. Voyage revenues for the three months ending June 30, 2024 amounted to $10.8 million corresponding to a daily TCE of $23,938. Compared to Q2 '23, our net revenues increased by 403% and our TCE was up 185% from Q2 '23. This was mainly due to the contribution from our Aframax tanker, which is around 80% of our revenues. Our fleet operational utilization was 87.7% for the second quarter of ‘24 compared to 89.6% for the second quarter of ‘23. Voyage expenses and vessels operating expenses for the three months ended June 30, ‘24 were $3.1 million and $2 million respectively. For the second quarter of ‘23, the figures were $174,000 and $842,000. The increases in both voyage expenses and vessels operating expenses are attributed to the increase in the average number of vessels. Voyage expenses for the second quarter of ‘24 mainly included bunker cost and port expenses of $2.5 million corresponding to 80% of the total voyage expenses. Operating expenses for the three months ending June 30, ‘24 mainly included [crew] expenses of $1.1 million corresponding to 55% of total operating expenses, spares and consumable cost of $300,000 corresponding to 15% and maintenance expenses of $300,000, representing works and repairs on both the vessels corresponding to 15% of total vessel operating expenses. Management fees increased by 75% from Q2 '23 due to the increase in the average number of vessels. General and administrative costs were $600,000 and mainly related to the expenses incurred from the two public offerings and the reverse stock split. Depreciation recorded in Q2 ‘24 was $1.5 million, a 130% increase from Q1 of last year due to the increase in the average number of vessels. Related party interest and finance costs for the period was $900,000. And related to the accrued interest expenses as of June 30, ‘24 in connection with the $53.3 million payable, which was the 90% balance payable on the acquisition prices of our Aframax tanker Afrapearl II and our bulk carrier, the Eco Spitfire. The Afrapearl II was completely paid off in July ‘24 and the balance due on the Eco Spitfire is payable in April ‘25. Interest income of $433,000 for the quarter and $643,000 for the six months of 2024 were recorded and relate to the interest received from our bank deposits. As a result of the above, for the three months ended June 30, ‘24, the company reported an adjusted net income of $2.9 million compared to an adjusted net loss of $0.4 million for the same period of last year. Adjusted EBITDA for the three months ended June 30, ‘24 amounted to $4.9 million compared to an adjusted EBITDA of $0.3 million for the same period of last year. Unrealized loss on warrants for the three months ended June 30, ‘24 was $14.5 million and related to the net fair value losses of our Class B1 and B2 warrants and Class C1 and C2 warrants, which were issued during the first quarter of ‘24 in connection with the two public offerings and have been classified as liabilities. This is a noncash item and does not reflect the operational profit of the company. Turning to Slide 12 for the balance sheet. The fleet book value as at the end of June ‘24 was $87.4 million, an increase of 16% from year end ‘23 due to the addition of the bulk carrier, the Eco Spitfire. By the end of Q2 '24, our cash and cash equivalents was $45.5 million, an increase of 402% from December 31, ‘23. The company has no outstanding bank debt. The financial liability of $54.7 million relates to the 90% payable on the acquisition prices of our Aframax tanker Afrapearl II and our bulk carrier, the Eco Spitfire. The Afrapearl II was completely paid off in July ‘24 and the balance due on the Eco Spitfire is payable in April ‘25. Concluding the presentation on Slide 13, we outline the key variables that will assist us progress with our company's growth. Owning a high quality fleet reduces operating costs, improves safety and provides a competitive advantage in securing favorable charters. We maintain the quality of the vessels by carrying out regular inspections both while in port and at sea and adopting a comprehensive maintenance program for each vessel. The company's strategy is to follow a disciplined growth with in-depth technical and condition assessment review. Management is continuously seeking timely and selective acquisitions of quality vessels with current focus on short to medium term charters and spot voyagers. We always charter to high quality charterers, such as commodity traders, industrial companies and oil producers and refineries. The company maintains an adequate level of cash flow and liquidity that will enable us to act instantly as the windows of growth and opportunities open. Despite being in operation for just over a year and having increased our fleet by 234% since inception, the company has no bank debts. No interest were charged by the sellers of the two vessels acquired in July ‘23 and April ‘24. At this stage, our CEO, Dr. Diamantis Andriotis, will summarize the concluding remarks for the period examined.
Diamantis Andriotis: Following the completion of the first six months of operations in '24, C3is has reported an adjusted net income of $7.3 million, an adjusted EBITDA of $11.3 million and an adjusted EPS of $1.68. We have taken delivery of our fourth vessel this year, bringing our total fleet capacity to 213,000 deadweight, an increase of 234% from the company's inception a little over a year ago. In July 24, we paid off the remaining balance of $38.7 million due on our Aframax tanker without resorting to bank financings. We have more than tripled our fleet capacity without incurring any bank debts. Shipping business is at a major turning point with a plethora of risks and opportunities, which are poised to shape market dynamics. These are mainly the declining global demand for major cargos, such as iron ore and coal, the increase in transportation of grain and minor bulk cargo, the decarbonization of customer value chains, the impact of market fluctuations and geopolitical risks. We are confident that we have established foundations that is adaptable to this changed environment, thereby enhancing our fundamental ability to both further develop existing core businesses and explore new growth businesses. Looking ahead, we believe that earnings momentum will remain generally favorable, prompting our continued focus on our fleet growth strategy. We will continue to strive to produce both improved financial performance, attractive returns and growth prospects for our shareholders. We would like to thank you for joining us today and look forward to having you with us again at our next call for our third quarter of ‘24 results.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you.
End of Q&A: